Operator: Hello, and welcome to the Accor 2020 First Semester Results Call. My name is Dan, and I will be your coordinator for today's event. Please note, this conference is being recorded. [Operator Instructions]. I will now hand you over to the Chairman and CEO of Accor, Sebastien Bazin, to begin today's conference. Thank you.
Sebastien Bazin: Thank you so much, Dan. Thank you for all of you to be connected as of this minute, and sorry to be a couple of minutes late. We're going to have a lot to discuss and to talk about. And of course, a lot of sharings in between questions you may ask and answers we likely have as well. So you, I know we're going to be going through the deck, so I'm going to give you the page of, that I'm talking from so to make it easy on many of you since we're not on Webex or on Zoom. So we start with Page number 4, which titled COVID-19 crisis takes the world decades back. It's splitted in 2 graphs. And I guess, on the left side, it's basically factual. You have it in my quote, what we're going through, and we've been talking about it in February and March, it's global, that crisis is global, sudden, violent and unprecedented. It has major impact on the world GDP, which is likely to be, in 2020, the worst for the last 40 years. It obviously has impact on unemployment, and I'll go back to that, to this in a minute, likely to be the worst over the last 40 years, if you believe the numbers from International Labor Organization. And unfortunately, for us, it is also likely to be, and we know it is, the lowest ever international travel for the last 30 years. So what you see on the right side, nothing new for many of us on the phone. And then the expected GDP drop in 2020, and it varies in between different economies. If you go to Page number 5. It's relates to the travel and leisure industry. Of course, the impact is not only massive, but we are one of the worst industry going through the crisis with nothing much we can do about it except coping with it, responding to it and adapting to it. On the left side, we don't know, and it's kind of bizarre that, I guess, at this stage, half year, we simply have no idea whether the 1.5 billion numbers of travelers we enjoyed over the last years and months of 2019 would be dropping to 600 or could be dropping by 80% to 320. If that was, if that were to be the case, the 300 million is the set number the world enjoyed in 1985, which means, I guess, that we have to accept that we go back 35 years, in a population, which was probably 1/3 of the size of what it is today. On the right side, it's the impact of the drop of travelers on the revenues at large and the contribution to GDP of our own industry. Those numbers are, again, nothing new coming from the WTTC, likely a drop of 39%, which is $3.4 trillion disappearing in revenues to local domestic GDP. But the one thing I want to pause a minute on is the drop of 37% in the job contribution to the industry and at large. I think many of you know, and I've been repeatedly saying, it's close enough to one job out of 10 works with the travel and leisure industry on the planet, which means that, again, the 330 million is close enough to 10% of people being employed today. If we go down by 1/3, which is losing 120 million jobs, that means that, I guess, in terms of unemployment, is going to rise to 3%, only due to our industry. And I know there's a lot of ripple effects on many people not directly working for the industry, and I've been thinking on a lot of local communities living from the hotel revenues and from tourism activities also disappearing on the meantime as we speak. So massive impact, not only for the industry, but for jobs existence on the planet. On Page number 6, we're getting closer to Accor as it is, and then Jean-Jacques is going to come to you even deeper in the Accor numbers, and I'll come back at the conclusion. On the left side, it's of two natures. One, notably, I guess, it's interesting to notice that Europe, as we open its frontiers to the extent of 92%, very daring. They've done so over the last five to six weeks now. I know every day is, week passing, there's chances of some borders being closed again on some different provinces between Belgium, Holland and not accepting people from Southern Spain. It's still in question, but it is very different from other continents. And of course, in South America, all the borders are virtually closed in between Chile, Peru, Colombia, Argentina, it's the same thing. In Asia Pacific, Chinese frontiers are still closed as we speak and kind of a similar effect in Middle East. It only reflects on the importance of targeting domestic clientele because those domestic clienteles don't need to cross the frontiers and thank God for our industry at large, roughly 75%, 25% depending on the country is, today, domestic clientele. That is not sufficient, but it's critical to get back in business and to enjoy better numbers for the rest of the year. And I'll give you a bit more granularity on the right side of Page number 6. We're going on numbers. RevPAR, as you see them, bottom of the pool, likely to be at the end of March, which is of no surprise, which is when the hotel is being mostly closed, and looking for clearly better trend and rebounding ever since. And I can tell you that slide and at the 18th of July. Let me give you, because we've been working for the last five hours on giving you numbers, not in terms of RevPAR, but in terms of occupancy, because I think it says it even more for, I'll give you four or five numbers that you guys could write down at your leisure. For, as of last night, and for the last five days rolling, the occupancy is China across Accor brand is 60%; the occupancy in France is 56%; the occupancy in Germany is 39%; and the occupancy in the UK is 35%; and across North and Central North and Central America, it is 35%, and certainly better than the numbers you see here, and it is increasing every week passing. The one thing to notice, which is extraordinarily important, which basically tells you why it is very difficult for us to project ourselves in the future, for Europe and whether it is, and it doesn't matter which country, 60% of all the bookings made today have been made with less than 5 days notice. So on Monday, people decide what they would do the following weekend or the following week. That number was exactly double last year at the same pace. So 2019 was at least 10 days notice. So within two or three days, we learned so much more on what could be the end of August, what could be mid-September. We simply don't know as we speak, but surprises have been mostly good over the last three weeks of early summer. That's where we are. I'll hand over to JJ, and I'll come back to you on the closing remarks.
Jean-Jacques Morin: Okay. Good morning, everybody. Good morning, ladies and gentlemen. Very happy to be with you for that H1 result presentation. In line with what Sebastien just discussed, I mean, we've been traditionally disclosing guidance for the full year during this H1 call. And this one, with the context that was just explained, we won't. With that being put aside, let's move to Page 8, where we described, in fact, the overview of the business momentum and the financial performance. You can see here that in terms of the business momentum, the figure reflects with unfortunately not much surprise, the unprecedented deterioration in the industry linked to the spread of the COVID across the world. So RevPAR is down 59%, and in fact, 88% in Q2. Occupancy is at 31% for H1 and 15% for Q2. And we've got, as of today, 81% of our portfolio of hotels open. And I'll go in more details later on that on the statistics. To translate that into numbers, the revenue at €917 million is down 48.8%. The EBITDA is a negative €227 million, and the recurring free cash flow is a negative €473 million. So if you move to the page, the next page, which is Page 9, what did we do? There is things that are under our control, there are things that we can't really do much around. I mean this, the health epidemic situation is obviously not in the control of the company. But on anything that we had under our control, we took immediate and drastic measures in order to protect, on one side, the earnings, and on the other side, making sure that we've got the proper financial level. Let me go into some detail about that. On improving the operating leverage, you may recall that in the Q1 '20 call, I mentioned an EBITDA impact on the group coming from the COVID of €170 million. If you were to, as a rule of thumb, compute what it implies in term of EBITDA sensitivity to RevPAR, the number we had discussed is €28 million. And I provided you with a number that we would probably be north of €20 million for the rest of the year. And I am happy to report that we are below €20 million over H1. And this has been the fruit of a lot of cost saving plans, actions from all the teams around the world. We also came public on reducing G&A to the tune of €60 million in 2020. And as of the end of June, we have already achieved 60% of that €60 million. The other element, which got significantly adjust, adjusted, sorry, is the sales marketing distribution Hotel Assets and New Businesses, where, in fact, here, there was a lot of adaptation to volume. The other KPI that is critical and where we've been showing some good actions and control is the cash burn. In the Q1 call, we said that the actual cash burn in March was €150 million negative. In May 18, we published a press release where it was implying a monthly cash burn of €100 million, and in H1 over H1, the monthly cash burn has finally reached €80 million, so much better than the €100 million. On top of that, you should recall that we talked about a recurring CapEx plan of €60 million by 2020, and I am happy to confirm that we will do it. And the share buyback and dividend have been suspended. So last but not least, part of the work that we did as a reaction, as an immediate measure and a reaction to that crisis was to make sure that we had the proper balance sheet and financial structure. We started, we had a good start because we started closing the Orbis transaction. And as of the end of June, we've maintained a very strong positioning because we've got more than €4 billion of liquidity, made up of €2.4 billion of cash and €1.8 billion of revolving credit facility, which are all undrawn. So let's, besides the pure number, I'm moving to Slide 10. There is, on this side, a couple of things that we did. I mean, we discussed Orbis, but we also closed Mövenpick in H1. We continue to work on strengthening our loyalty guest days. And you can see here that we added 2.3 million of members. And last but not least, we had a good high when it comes to development. We have 4.3% last 12 months net organic system growth, which everything being equal in the current world, is a good number, very good number. I give you some details on that 4.3 million and the situation of our development on Page 11. You can see here that we opened 12,000 rooms in H1. Asia Pacific is a bit north of 50% of the opening, and there was quite a lot of openings in Huazhu as the Chinese market has recovered and continues to be vigorous. On the pipeline, you have a number of [206,000] room, which is very close to the one at the year-end, so stability of the pie can, a little bit below. And last but not least, the churn was controlled, and we are below 2%, which is exactly what we would like it to be. I'm moving now to Page 12 to give you some more highlights and color on the second pillar of the business, which is RevPAR. RevPAR is 59% over H1. Translate out, the pandemic has been spread by geography. You see here very well that April and May have been the worst months with number close to 90% of RevPAR. And that this RevPAR is, as you would expect, essentially driven by occupancy. If you move to a view for the key regions, so Asia Pacific, RevPAR is down 77%. And you have a very visible improvement, notably in China since March. Greater China, which is the pandemic epicenter was the first also to get out of the, or to recover, I should say, from the crisis. And the RevPAR in Q2 is minus 63%. In June, we're at minus 50% with an occupancy level of 48%. And in July, when we look at where we're going to end up the month of July, we should be around 50% of occupancy, quite significant recovery from where we were back in March in China. April, Australia, sorry, not, posted a negative 84% RevPAR and this is essentially because the country is closed, and so most of the business is coming from government quarantine. When we come to Europe, RevPAR was 90% negative, but we've seen visible improvements this May, notably in Germany and in France. Germany has managed the crisis the best, and so they came out of it the fastest. And you see that in the speed and their numbers. France wasn't bad. We have, in fact, today, some recovery that Sebastien gave you some numbers. There is a difference between Greater Paris and the province as, in fact, the province is benefited from the domestic tourism flow and Greater Paris is obviously suffering from the international travelers flow not coming in, not coming in as you would expect. The third key country in Europe is the UK and the UK has been trailing as their lockdown has been trailing. We still had significant amount of hotel flows at the end of June, and so they will recover with some delay. The rest of the world that started slower into the crisis and are now somewhat lagging. NCAC and South America have a reported RevPAR of minus 95% of our Q2. And Middle East and Africa is, in fact, penalized by the lack of religious pilgrims to the Holy City in Saudi, which is a very lucrative part of our business in Middle East and Africa. If we talk not of the actuals, but how we get out of it, we see on the Page 13, that the reopening has been moving from 38% of the hotel network being opened at the end of April, so at the worst of the crisis, moving up today at more than 80%. So that's going in the right direction. And you see that translated into RevPAR. I mean, the group RevPAR we were discussing numbers into the tune of minus 90% previously. We are, in fact, better than 70% at the end of July, minus 70% at the end of July. With the comment that Sebastien made, which is the visibility is very, very short wind or very much a short window, so not a lot of visibility. If you move to, this time, the result themselves and so the revenue by segment, which is the Page 14 of this presentation. You can see it on the revenue of €917 million, very little difference between the reported and the like-for-like, mostly, in fact, the sale of the portfolio, leased portfolio of Movenpick. The reading by segment. HotelService revenue was down minus 53% on a like-for-like basis. On RevPAR minus 59%. And in fact, just to give you more detail on that revenue, the M&F fees is down 72%, and the service to owner is down 42% for the same reason than the one that we explained back in Q1. As for Hotel Assets & Other, the revenue is only down by 40%. And again, here, part of the explanation is where is the hotel asset situated. And today, they are mostly Australia and Brazil, and the numbers in Australia and Brazil in Q1 were quite good. As for New Businesses, the revenue is down 40% with a big difference between the travel-related activities such as One France Day and other activities like digital services, which are much less linked, in fact, to the travel business, and where results are much better. Moving now to a bit more detail on Management & Franchise. I'll be pretty summary because, in fact, you see that the statistics and the numbers are about the same for each of the jurisdiction. The part which is important is the fact that the 72% is, in fact, lower than the decrease of RevPAR which is only 59%. And the reason for that is that we adjusted the incentive fees in H1 and the incentive fees, which are very much correlated to the hotel profitability are very close to 0 to date. So that's why you have that drop of 72% for 59% of REVPAR. And you will also notice that we did that adjustment in Q2, hence the fact that the Q2 revenue is slightly negative. Moving to the EBITDA by segment. I am on Page 16. I think regarding Hotel Assets with an EBITDA of minus 10%, we ended up quite well, and I'll detail that later on. Regarding New Businesses, you find, again here, the same differences between the business which are correlated to the travel industry and the BA basically like occur from the business which are related to other, more to other industry just like D-EDGE, for example. And regarding HotelServices, we end up with a negative €141 million, which drive most of the loss in H1. And I propose that we pay, we move, sorry, to Page 17, where we gave you more detail than what we would usually do so that you understand it well. You see on that page that the loss is largely driven by Sales, Marketing, Distribution and Loyalty. When we did the Q1 call, we explained what was happening on Sales, Marketing, Distribution and Loyalty which you would have, in a theoretical world, expenses, which are to the tune of the fees received from hotel owners. When you talk about RevPAR reduction, just like we saw in Q2, which are huge, the cost cannot be flexed as fast as the revenue and notably the fixed cost. And so that's why you've got that EBITDA loss, and we'll get back to that point when Sebastien will do the last part of the presentation. On reimbursed cost, it has behaved exactly like it should, i.e., it's a true pass-through. Another services to announce, which includes services like some accounting chart services or design and technical services, again, here, it's behaving as expected, i.e., close to zero. You basically get reimbursed for the cost that you, for the revenue that you received. And last but not least, the Management & Franchise EBITDA is at breakeven, and you see that consistently across all regions largely affected, in fact, by incentives not being there. If you move to the next page, which gives you a detail not of HotelService but of Hotel Assets. You see here numbers that illustrate, in fact, the transformation of our business model in that segment. Today, what we have there is mostly Asia Pacific and Brazil. And the, as a geography, sorry. And the other activities include Strata, time share and AccorPlus, and they are, in H1, about 50% of the revenue of Hotel Assets & Other. The EBITDA was limited to €10 million, which is a good number. And this is because we took very significant actions like in Brazil, we basically separated ourselves from 50%, more than 50% of the personnel. So that kind of variabilizes the situation. In Europe and Australia, the governments were very supportive, and we had good employment, partial employment schemes that help us again variabilize that cost base. And also last but not least, the lease structure, variable lease structure that we've got in Brazil is such that you don't have to pay the lease because the business is not there. So all of that has been helping at weathering, in fact, the EBITDA line. Now moving below EBITDA to net profit, and I am on Page 19, you see here a net profit loss of €1.5 billion. There are three comments I would like to do. Number one, the share of net losses of associates, which is a minus €353 million loss. What you find here, and it's on the table is AccorInvest, Huazhu and sbe, these guys are in the same business line as we are, and they were basically impacted by the COVID-19, just like we are. And so that has been affecting that EBITDA that has been affecting their impairment. And what we take on that client, as you know, is our share of their net income. And on top of that, at net income level, you have, in the case of AccorInvest and sbe, a high level of indebtedness that is impacting the net income of those entities. The second point I'd like to highlight is the nonrecurring item to the tune of €1 billion, which is essentially impairment. As you know, we've been transforming that company over the last 5 years through acquisition. We did several billions of acquisition, which technically results in a significant amount of intangible being recognized on the balance sheet at market value. So with the current situation, IFRS has been requiring that specific internal tests are conducted in H1. And so we revised, in fact, the valuation of those intangible. And as you have discounted rate which is significantly going up because of the hospitality market volatility and second the fact that you are not projecting to be back to the 2019 level before 2023, you've got a mechanical computation of that impairment, which adds to €1 billion. Again, as you know, it's a noncash charge, but this is what we took in the account of H1. Orbis translated into a profit, no surprise, and there was 272, €200 million, sorry, profit coming from the discontinuation of Orbis. If you move to the cash view, so moving from EBITDA to recurring free cash flow, recurring free cash flow reached minus €473 million. This equates to the €80 million, if you divide it by six months that I was earlier mentioning. What's you, quotable on that table -- is the working capital change, where you see a negative working capital change of €180 million, which compared to €74 million last year. And that translates, in fact, the fee collection deferral that we saw over H1. I think that's it for this table. I am moving to the last slide of my presentation today, which is Page 21. You have, on that table, two things, the liquidity position and the net debt. Let's start with the net debt. You have a bridge between December '19 and June 2020. And you can see a slight improvement of the net debt position to €1.1 billion of net debt. If you go through the bridge, you see the recurring free cash flow that we just went through of €473 million negative. You see the completion of Orbis, €1 billion positive. You see the completion of the share buyback of Q1, €300 million negative. I remind you that since then, we've been suspending any share buyback. And the last but not least that you probably are not aware of is that we decided to monetize our Paris headquarter, the tower that we own. And so we are in an active sell process, and as per the rules, the IFRS 5 rules, we are deconsolidating in that bridge, the amount of net debt associated to the Paris headquarter building, so that's €290 million. Liquidity, all in all, the €1.1 billion of net debt translates into €2.4 billion of cash position. To that, you add the FCF, revolver, credit facility and on. And that's how you come to the €4 billion that I was alluding to before. The other element because I'd love to have more positive things to say, sorry. And in this gloomy world of the COVID-19 crisis, we got a bluebird in July. We received a €300 million cash payment from the tax authorities, which relates to litigation that we have had with them since the year 2000, so something which is about 20 years old. And I am very happy to have that cash in my bank account. I think with that positive note, I'll close my presentation of the account and pass over to Sebastien.
Sebastien Bazin: So there's no misunderstanding, he's talking about Accor bank account, not his bank account. [indiscernible] but let's not be confused. On the closing remark, we are on Page 23. It's, there's two phases here, and you can actually split the 4 bullet points into two phases. Those phases have been in between early March to the end of July. It is exactly five months. The first 2.5 months, everything we have done was with a sense of urgency, caring, preventing everybody from drawing into very rough waters. It's been a matter of taking care of employees, guest owners, communities and you. Remember what we have done with the ALL Heartist Fund. And it was also a matter of making the appropriate measure to, not only weather the storm, but to make sure we adapt the cost to the lack of demand. And you remember, a couple hundred thousand people being furloughed temporarily and is being extremely intense. Very quickly, before the end of the confinement and the end of the lock down, we've been preparing for the future with one thing in mind is to make sure all the hotels were safe, then you give proofs of it, that people will come back to your properties because they have a different nature and they feel reassured. But then you have another 2.5 months, which is very different in nature from the first 2.5. And it's different because it has nothing to do with temporary. It has nothing to do with event-driven, has to do with much more structural, medium, long-term broader thinker, in which you learn from the crisis, you try to anticipate how would your guests change in their own behaviors, and we may talk about it, about group business rather than others. And then you prepare for building the structure, the future of Accor. If you want to use the same metaphor on the water and drawings. The first 2.5 months, you are in the water. The last 12 months, you are safe on your paddle board, but you stand up. So you can see the next wave, you can anticipate, you can decide to surf through it, or you can decide to surf on it and to get speed and agility. That's where we are. We say from the Board, we can actually easily see what's going on around us, and we can actually choose and peek on whether we're going through or whether we surf on it. That's where we are as of this minute. I have to tell you, when you go to Page number 24, on the ZBB, Zero-Based Budget, that, that reflection on broader, medium, long-term thinking, started in October of 2019, has nothing to do with the COVID crisis, 0. We knew that we had to finish the job. We knew we transformed the business model of Accor from asset-heavy to asset-light. We had done booster. We were hoping, praying that all these would go through, and it did. But we knew that we had to adapt, which we haven't done so far. The asset-light model to a full asset-light company in terms of alignment of the organization to new business model. That's been never done because we've never been an asset-light model company. Here was time to do it, and it is what we have done with the executive committee in January and February and the outskirts of Paris for 3 days. And then I'm taking advantage of the last 2.5 months with lesser activity and demand on taking the time heavily needed on having people helping us on really opening the engine. Mapping 7,000 different tasks all across the different region, all across the different segments. On selecting what are the value-added and non-value-added activities on which we don't get paid for or there's not enough margin, on deciding what would be the gross savings. And of course, when you do it at top best analysis, you have to confront it months after with the regional CEOs to make sure that they understand it, they share it and they accept the rendering, which is called the bottom-up, buy-in. And then you have to be disciplined because it's not a matter of diagnostic, it's a matter of execution and implementing it. What you have on the right side is a five or six big tasks ahead of us. One of them is, of course, eliminating, so I guess it doesn't start again, all the things you should not be doing anymore. Two is leaner management structure. There's seven layers between a hotel GM and myself, there's certainly one or two too many for sure. Frugality, it's obvious, is you do more with less, which, of course, we can do. Real estate, let's make sure we use less square meters all over the planet. Mutualization, you don't do twice what's done in Sao Paulo and could be replicated in Singapore, but in [indiscernible] nobody. Automation, make sure you have less human interaction. There's a lot of software, a lot of technology permitting today to be more agile and simpler. And contractors reduce the numbers of IT providers interfering in your day-to-day life, making your IT system even more complex because they are the only one who understand it, so they basically protect the nature of your own business but they don't protect our core. On Page number 25, this is the result of those 2.5 months between mid-May and end of July. And of course, it's being able, we've been able to do it in 2.5 months because we started in October of 2019. It is a couple of hundred million, and it is permanent and recurring. And it is 17% of 1.2 billion hotel service cost base, which means, and I know Jean-Jacques talked to you about it. There's another 1 billion of hotel asset cost, shared services, which hasn't been addressed as of yet, certainly not the same extent of percentage savings, but certainly something that we cannot move away from and shy away from, which has to be addressable in the very short term nature. I won't go back on the M&F Holding, it's self-explanatory. I won't go back on sales, marketing, contractors, IT, pausing a minute with you on, it's a very quick, probably quicker than I even expected myself with JJ, 20 months payback, 2/3 of it is achievable by the end of 2021. And the last 1/3 would be achieved by the end of 2022. So very detailed and the PMO will be in place, actually is in place to make sure that we have people fully responsible for it. And it is, of course, at the top of the management agenda for the weeks ahead of us. On Page number 26, the title here is probably what reflects 100% of what we've been sharing with you is we need to finish the job, and we need to go to a full asset-light company in terms of organization. If we do so and bet on me, we will. We will have a stronger Accor, we'll have a greater capacity to rebound and we'll have a greater profitability and cash conversion, which has been long-awaited for us. Potential is just right underneath our fingers. It is just the time to grasp it. And if anything, COVID is an accelerator, it's not an excuse, it's not the cause, but it is certainly helping us, for people to understand the necessity to readjust. On the long-term vision, the one thing I want to make sure here as well, which is the second bullet point in the middle of the page is there is no way we're going to be reneging on Accor product commitment when it comes to carbon, plastic-free, green ecology, less footprint in local communities in terms of architecture. That will be preserved. We will meet obligations that we have made to a lot of different government agencies. And we will, of course, go deeper when it comes to inclusion, diversity, solidarity, as demonstrated, certainly, more so than ever during the days of the confinement. And the last topic here had to do on the sought-after brands, Accor, we can't talk much about it, and I'm sure some of you is going to have questions. But for the last four months, I've never ever seen so many inquiries by so many small, medium-sized groups looking for whether they could partner and basically get help from Accor when it comes to distribution, when it comes to access to loyalty program. I'm not talking balance sheet here, we're not a bank. Accor is not here to provide financing to other owners or other brands. But again, it is really progressing. The one thing that I want to share with you when it comes to my frame of mind, as of this minute, is we are in a world where there is no margin for errors. The team is not only aware what's going on, but all the diagnostic has been shared. It has been endorsed. It will be implemented and people will be made accountable. 100% will be results-driven with rigor and discipline. So that's where we are. Those numbers are not light numbers. They will be in place with people not happy to do it, but totally understanding the necessity to do it. Accor will become even stronger after we have the ability to have greater cash in the balance sheet and a greater system of distribution and more powerful brand with clear promises with much better experiences to the guests. That's where we are. Now we actually hand over Q&A to you guys on any matters you wish to discuss with us. Nessi?
Operator: [Operator Instructions] And the first caller we have on the line here is Vicki Stern, calling from Barclays. Vicki when you're ready, please go ahead.
Vicki Stern: Yeah, hi. Three questions, please. Just firstly, on exit rates. So it looks like the implied drop-through in the quarter was about €19 million for every €0.01 change in REVPAR. Could you sort of give us a sense on what the exit rate was there? And then what we should be expecting as we look into the second half? Similarly on cash burn, what the €80 million, again, sort of exited that? And anything we should have in mind for H2? And then just lastly, just coming back on your comments just to the end there. So you said you've never seen so many inquiries. Just then your perspective on what that might look like from a net system growth standpoint, both this year, but as you look really into the next few years? Thanks.
Sebastien Bazin: JJ, you go for it.
Jean-Jacques Morin: I mean, the first two questions that, by the way, good afternoon, Vicki, first. But your first two questions, in fact, you should take, as a proxy for H2, the same number as the one of H1. So your 19 and the 80 is a good proxy of what will happen over H2.
Vicki Stern: Right. Thank you. 
Sebastien Bazin: When it comes to the -- I won't go in greater detail, Vicki, because a lot of things has been MOU and confidential. There's one that has been in the press, and I have no idea what will be the outcome of it, and it is closer to your home, which is Travelodge. Travelodge would have never happened without this crisis being there. Travelodge is actually a very fine brand. And it's just a question of structuring and ability to pay rent. We've been competing with many international brands, not many, all of them, with some Travelodge owners and that guy, Aviv, on trying on creating that company called Ago. I'm basically saying that, I guess, there is probably a way where we can actually be innovator, audacious by putting a massive franchise company in operating in nature in Monaco with a very small participant, but providing the brand, Ibis Budget and providing some IT key money equivalent. I have no idea, Vicki, whether we're going to have 20 Travelodge basically coming up to Ibis Budget or whether we're going to have the 500 who are eligible to pop in. It's going to be probably in between 20 and 500. That alone is a very, very significant amount of room. Certainly, we're in excess of the 35 Ibis Budget we have hotels in England. There's other stories like this one are people basically thinking harshly to convert to a different operator and basically knocking and having discussion with us on whether we can get, they can get the size of our core leadership strength in many different jurisdictions, which I won't talk to you. So it won't be a matter one by one. It's going to be a group of hotels of 10,000 rooms and above, joining the Accor portfolio, which, again, I would not have been there without the COVID. Whatever we do, clearly has to be disciplined, which is why we use the word rigor and discipline. There's no time here to have fun, so we'll see whether they pop in, we'll see whether it makes sense. We'll see what the return on capital is, but that's what I referred to.
Vicki Stern: And just perhaps a follow-up. And I suppose that's one side of the net unit growth. And just on the other side, in terms of the health of your existing owners, both small and large, just to have some additional comments there.
Sebastien Bazin: Remarkably strong, much stronger than I have expected myself. [indiscernible] actually is in turn with us today. It's out of the 5,000 hotels, there's probably less than 10 today in financial disarray. So many scroll anecdotic, stronger, and again, probably better news than I expected myself and Jean-Jacques 2.5 months ago. Much less need and ask from those owners to Accor. Otherwise, we wouldn't be at the €180 million working capital deficit, it would've been a much larger number. So again, but I've been very clear from the outset, Accor is not a bank. They should be asking the money from government subsidies.
Operator: And the next caller we have is Leo Carrington calling from Credit Suisse.
Leo Carrington: I was wondering if you could perhaps talk through the cost savings program or fixed cost savings program a little bit more? And elaborate on, I think you indicated in the comments, but how much of this will really be genuine structural changes that could have been done before had Accor been as asset-light as it is now? And can you give some more tangible examples of these? I think, must be helpful to understand how this is different to simply resizing the organization to match the lower demand environments that might be expected near term?
Sebastien Bazin: I'm taking a crack at the answer. Sebastien here, and J.J. will step in. This, and I'll give you my feel. Out of a couple of hundred million, no question, €30 million could have been spotted and has very little to do with the asset-light asset-heavy model. But we never turned 7,000 stones the way we've done it with the ZBB exercise that we've done in 2.5 months. We had the time, we had the grand expertise. So those could have been, again, funded and probably decided much sooner, probably our fault. The rest is clearly linked to 2 things, asset-light. So no way we could have done it before. And two, you heard me before when it came to booster. There is always sequence when you transform a company. And we haven't touched upon it, but some of you actually wrote it down. That couple of hundred million implies 1,000 job basically being terminated and laid off. That ones out of jobs, and there's 2 ways to compare it. One, which is coward way, if you compare it to 18,000 people, which number looks okay because that's 5.5% of workforce employed by Accor directly. There's another way to look at it, which is unfortunately more, much factual, is you have 5,000 people working in regional health offices, and that the addressable numbers of FTEs that, I guess we're looking at, so i.e., 1,000 happens to be 20% of the number, which is one out of four, one out of five actually, putting between 20% and 25%. And I'm not pleased by this. But as I told you about sequence, the first thing you do is you transform the company and you get everybody to back you up and make sure they get you close on booster, you close on all base and you don't create any social trauma. And then when you've done this, but you haven't lied either, people knew that, I guess, we're going to have to finish the job. Now is the time then you finish the job. The one thing, which I'm sorry, I'm going to take 1 second with you because it's very close to the values of this company. What we intend to do, and it's not going to change the numbers, so I'm not going to be reneging on a couple hundred million. What we have in mind is for the underprivileged, most fragile populations of Accor, probably with salaries below €50,000 per year. We believe we're going to keep those people employed for two years under that core payroll, but they will leave their current position because we need to basically eliminate their use and make the company simpler. But we're going to have them train at Accor's expense for two years until we have better clarity on the tourism, hospitality activity, until they figure out that, I guess, they want to do something else. And until they probably have a chance to have a greater educational degree and better chances like to recover and find another job. This is the duty of companies like us. We're probably going to be mutualizing that endeavor with other European company so that they can go to other industries. But, and again, that's going to be comprised of a couple of hundred million. So in no way, shape or form, are we going to be leaving basically underprivileged population alone in the streets of the world of today.
Jean-Jacques Morin: And maybe just a complementary comment on this one. As part of that exercise, where you really go deep into the activities we went through seven sudden activities for all the organization. You also will get out of that an element which is important, back to the comment I made on Sales, Marketing, Distribution and Loyalty, which is you will have a model which is a pay per transaction kind of model, much more than a fixed cost type of model. So part also of the acceleration, the way we think about it is that it helps us to be much more agile around the changes that you can have in the business. And so that will be a side product from that analysis and an element that we integrated in the solutions. So more charter, it's these type of things and outsourcing solution, less dependency on fixed basis.
Leo Carrington: And if I might just ask a couple of follow-ups. On the point on trying to protect some of the sort of the workforce, I guess this would be part of the ALL Heartist Fund? And secondly, on the sort of cost savings and on new processes, can you just confirm that the €200 million cost savings figure is a sort of net figure? Or are you referring to the sort of gross amount of inflexible cost structures that you're reducing for now, but ultimately may need to be replaced by alternate processes in a couple of year's time?
Sebastien Bazin: Leo, you're correct with the cost of keeping on the payroll but not in missions. Those most fragile population of coworkers will be paid by ALL Heartist Fund, which, by the way, we haven't touched upon it. But I guess, it's in between pleasant and difficult to accept. As of this minute, we have 35,000 workers of Accor who benefited from the plan with a cost of €10 million, and it's increasing even more so the last 10 days that it has increased the first month. You'll see with the GDP depression, it is vastly impactful and I'm worried that it's going to be probably way beyond 50,000, and maybe close to 100,000. So it's good news because it was then very much needed. And it's bad news because I would have hoped, that I guess, not that many people would have asked for it or the necessity of it. So that's for the first one, but I think that was one of the best decisions this company has made over a long time. And when it comes to the couple of hundred million, it's a net number, the implementation cost and the restructuring cost is roughly €300 million, which is a payout of 20 months.
Leo Carrington: Thanks very much.
Operator: The next caller will be Jaafar Mestari calling from Exane BNP Paribas. Jaafar, when you're ready. Please go ahead.
Jaafar Mestari: Hi, good afternoon. Two questions for me, if that's all right. Firstly, could you tell us more about your short-term commercial strategy? I guess, if the bookings come in five days ahead of travel at the moment, and I guess the very good point is that you can absolutely dominate if you have the right offers and the right communication. And even August, you can still make a huge difference. So I'm curious what you're doing right now to get those domestic leisure customers to press the button and to finish the summer well? And secondly, if we move on to business customers, a huge uncertainty into September, October is obviously the calendar of trade shows and events. Could you maybe recap for us what are the latest thinking in each major country? France, I think will be trying really hard to reopen the trade fairs. And are you seeing those events actually being rescheduled? What about Germany? What about the other big countries? And just lastly, on numbers. So when you say 60% of the 2020 cost savings have been delivered. Do you mean they're now in place going forward? Or do you mean there's already €35 million of savings in the H1 figures? In which case, maybe the EBITDA sensitivity has been a bit higher?
Jean-Jacques Morin: Yes. I mean the answer to the last point is that it is in the H1 numbers. So the €35 million is in the H1 numbers. And so the other one, since they are much more intellectual, I will pass this to my boss.
Sebastien Bazin: Well, on the short-term commercial strategy, there is two things which is evident here. Number one is lesser cost on acquisitions, customers acquisitions, lesser in convention of booking, lesser marketing being spent at a global level because 90% is tactical, domestic, local. A lot of it is being done actually at the regional level, selling the Brittany against selling including results for Saint-Tropez against selling Biarritz so this campaign at the regional level, actually co-financed by the different regions of France and it's something in Germany. It is, and at the end of the day, you know what works the best is, and it's interesting because it's going to give me the chance to talk about it, is VeryChic. VeryChic is one phenomenal tool. VeryChic is the last minute heavily discounted offer of which Accor branded only represents 11% of what VeryChic offers. VeryChic is one out of Barcelona. Never had so much traction over the last five or six weeks now. So with VeryChic, we know exactly what the traction is in between different communities. And unfortunately, for us, most of it, 90% of our [Indiscernible] so going to the Mid-Atlantic and other part and much less so into the capital cities of Europe, in which we suffer the most. So it is less cost being put in place and greater association joint venturing with governmental, regional bodies on targeting people, 70% of our customer base come by car, as we speak. So it's a very close community, three to five hours driving from their home. So as you said, tactical, lesser dependency on big booking engine. However, you've seen Airbnb doing very well over the last five weeks on basically, that's one of the biggest competitors of ours is people will probably intense agoraphobia they're also looking for somebody else's home to be actually to have the feeling of being safer, because that way, they don't have to encounter other guests in the same premises. When it comes to the trade, it's, you may know the numbers for Europe, it was 700 trades which was planned for 2019 in different countries between Germany, France, UK and others. Half of them has been purely canceled, so not postponed in 2021. There is a fight in between preserving that remaining 350 to 400. We're being held by the new French Minister of Events, where he's been advocating last week that we won't have any limit as of September 1 on any groups, trades, seminar, congress, where I was actually fearful that, I guess, it could be capped at 2,000 or probably 5,000. There's no limit. And there's no limit because Germany put no limit. So we're all fighting, of course, for the same group. For Accor, if I may, it's marginally relevant. What I lose in Paris and again in Frankfurt, I have very massive offers, as you know, in many cities in Europe, so it's not a total loss. But it's probably this segment in which, Jaafar, we have the most unknown because you've seen big operation canceling business travel, and by the tune of 25% to 33%. It's all being announced by all the big guys. I know, for a fact, that will be probably the case until summer 2021, and we could probably know for a fact that we will never come back to the level of 2018, 2019, it's probably a permanent 10% to 15% impact in the medium to longer term. That could be weathered. We can substitute different offers, but we have to be lucid.
Operator: The next caller is Alex Brignall calling from Redburn.
Alex Brignall: I have a couple. The first one is of we refer to the pipeline, as you're asked on the health of your existing hotels, I wonder if you might tell us what your pipeline is looking at? I think if we take out new additions, the pipeline dropped a little in the quarter, that's difficult to know how that is like-for-like. If you could tell us what you think that might do in the long run, that would be great. The second is with respect to the cost savings on my maths, which could be very wrong. If your cost save, if you did €200 million of cost savings and you kept it all, you would sort of leapfrog IHG and Marriott in terms of your system margin and be a good 10% ahead of them, which seems quite very good or a little ambitious. So I just wondered how much of that €200 million you'd get and where you said you'd be relative to those guys? And then I think you just answered this question, but I didn't get the initial bit of it. But in terms of business travel, previously, you've talked about thinking that it would probably come back in totality as of the previous crisis. Could you just tell us what your kind of, if there are any revisions to your expectations on absolute business travel versus sort of trade shows on the sort of longer-term rather than the short term, which none of us, nobody knows.
Sebastien Bazin: Alex, on the last line, I'd just share my feelings with many of you. Short term, minus 25% to 30%, almost as a certainty. Short term, meaning probably until summer of 2021. Longer term, my expectation is going to be it will never return to new normal. It's probably going to be like a 10% drop depending on, again, culture geographies, but the drop will be in place because many corporation will be much more astute, will go on Webex, on Zoom, those digital tools will prevail and will still be there. One thing that, I guess, some of you have heard about. And I'm, I know every year, I'm actually launching something and it scares you off. But I guess, it's something which has true traction as we speak. And is, you know companies today are exactly the same way we've been doing it. It's frugality, less square meter being used and cost is, there's only two options, either you have to go back to your headquarter, and the company wants you back or you're basically going to be remaining at home and work from home. There are a third alternative for sure. And a lot of human resources CEOs have been working on it in many jurisdiction is, give the guys the alternative not to stay home because it's too confined, not to take 1.5 hour of subways, but go 10 minutes by work, bicycling or car to the neighborhood hotels of Accor. Do it at large with 5,000 hotels, do it on a subscription mode, give them the ability to use lobby, toilet, bar, WiFi and meeting rooms, and why not? I am convinced that, I guess, you probably can have 5%, 10% of your room counts to be transferred into premises, permanent offices, and we go by different brands. So and that is in between the time of the day in which you don't need those facilities because that is between 8 AM and 8 PM. And we're doing it with Wojo. Wojo is the third largest European coworking player, which has been in place and which we own 50% of, and we launched it, Wojo Sport, Wojo Corner. So I think we're going to be able to do better than the loss of 10% from business travelers on providing that third alternative at a much lesser cost, both in transportation, then in health nature and, of course, in ability to work and have people waiting for you where he won't be waiting for you for the next meeting in the lobby of your apartment house. So that's where we are. In the couple of hundred million. I'll leave to Jean-Jacques.
Jean-Jacques Morin: Yes. I don't believe we're going to do better than Marriott. Yes. I think part of the, where the reasoning needs to be further delved into is what is the portion of those savings, which are going in M&A versus [indiscernible]. And so that's part of the equation that needs to be resolved. Because, as you know, on the face of it, we're probably 15% below the margin that those guys are doing. So we've got some rooms. So I didn't do the computation myself, but it's going to help us be where we need to be on M&F, and it's also going to help us on sales marketing distribution deficit. So I think this is going both ways. On the pipeline, the numbers have been stable from December to March and slightly down, I mean, again, from top of my head something like 208, moving to 208 and moving to 206 and I think the important point on the pipeline is that there was no more cancellation this time than there was the time before. So you don't see any cancellation in case, which I think was the thing that we looked into when we got that number. And if you talk to the development team, they are seeing a very high level of activity in terms of potential signing and today, I mean, for example, take lifestyle, the level of signing is still very, very strong. So frankly, at this juncture, to connect to account what we know, no sign that we need to be worried about.
Sebastien Bazin: You know what, Alex, I'll be a bit more granular than Jean-Jacques because it's -- when we have victories, we might as well actually shout it. On lifestyle, which you referred to, we signed last year 38 or 39 new hotels. We signed the first semester of this year, 45 and looking forward to sign above 70 properties in 2020. So much beyond what was achieved and in a matter of 6 months, better than the full year of 2019. So that's a managed good example, but it's a notable example.
Alex Brignall: Thank you very much.
Operator: The next caller will be Jamie Rollo calling from Morgan Stanley. Jamie, when you're ready. Please go ahead.
Jamie Rollo: Thanks, hello, everyone. Three questions please. Just on the RevPAR sensitivity, you're seeing still about €19 million to €20 million in the second half. But on Slide 17, on the SMDL costs, which only dropped by about 20%, if you're expecting those costs to drop more in line with RevPAR in the second half, shouldn't the RevPAR sensitivity come down a bit because that alone was about €150 million additional loss on my numbers in the first half because of that mismatch between revenue and costs? And the second question is strategic. Given this drop in corporate demand you're seeing, how does that change your strategy on loyalty and the brand portfolio? Clearly, you're pushing lifestyle more, but as we see more sort of less loyal leisure travelers, does that change anything on that outlook? And then finally, a follow-up on the cash burn question. I think on my math, it looks like second quarter cash burn was about €60 million. And shouldn't that be better in the second half of the year given RevPAR is recovering? Thank you.
Jean-Jacques Morin: Jamie, I think we're going to hire you in operations because you can push my cash burn to be better and my RevPAR sensitivity to be better. I mean, candidly, where we are, there is still, at this juncture, a very limited visibility on how the next months are developing. I mean, you see what what's going on in Belgium. You see what's going on in Barcelona. So I think you want to be relatively conservative on those KPI. And so I wouldn't change the guidance I just gave you. All that because it can go both ways. Suppose things go very well, then there will be a significant push from operations to go and spend a lot of money to capture the people. And then suddenly, my question on SMDL might even get worse because I'm going to get more cost than I get -- before I get revenue, if you will. So I think you need to be a little bit cautious on those two guidances or cautious -- reasonable on those two guidances.
Sebastien Bazin: On loyalty, sincerely, I don't have your answer. I need to dig in with the loyalty people on -- you do refer to lesser, lesser traffic from loyalty card members probably because there's lesser international travelers, and those people are probably the best users of card, I can't tell you. Seriously, I won't invent an answer, but I'll ask the guys and I'll, and we'll come back to you on this one.
Jamie Rollo: Can I just, can I push you on the SMDL cost? I'm not asking about revenue, but we're in the third quarter now, would you expect those costs to be dropping more than the slow 20% rate in the first half then?
Jean-Jacques Morin: Again, I wouldn't want to give too more. I don't want to give you much more than the guidance I provided, again, for same reason, which is that there is solid visibility. And I was giving you a guidance of 100, we are doing 80. I think we've pushed the equation quite a lot on some of the cost savings. We were helped by some solid team schemes that have been lasting longer than where they were anticipated initially. So there is a lot of uncertainty around all of that, Jamie. So just take the numbers as they are.
Operator: And the next question will come from Jarrod Castle of UBS.
Jarrod Castle: Three as well. Obviously, you used to have these 2022 targets and understandably on hold. But how are you thinking in terms of, when do you think you'll have enough visibility to set some new targets? And also linked to kind of the motivation of senior management to kind of hit new targets, just your thinking on that. Second question, just in terms of the write-down of €1 billion, is it any, can you give a bit of color in terms of how that's split between different assets and different acquisitions? And then just looking at your portfolio, I mean, is there any room or brand rationalization? And how does that fit in, in terms of your thinking in terms of the distribution platform/whole?
Sebastien Bazin: Okay. You want to go on the write-down?
Jean-Jacques Morin: Yes, I'll take the write-down. So on the write-down, it's a very mechanical computation, Jarrod. o basically, what it's going to do is that it's going to affect all the business plans that supported, in fact, the valuation of what was set up on the balance sheet. And so you, because of that, see all of the acquisition being touched by that computation. To go in a little bit more detail, you can say that about 30% of it is coming from a discount rate, which is 100 basis points higher because of the volatility of the hospitality stock market, which, as an effect, is making the average cost for the walk, the average cost of capital being higher by 100 basis points. And then the 70% remaining is the fact that you're basically losing 2 years of free cash flow in any of those business plans, to just give you how mechanical this computation may be. So the largest element of the €1 billion will be FRHI, and then you will have Mantra. So if I adjust to the tune of about €300 million out of the €1 billion. And then you have Mantra €400 million out of the €1 billion. And then you have much smaller numbers for the various, Movenpick, [indiscernible] Gekko, all of those people are affected throughout that process of valuation of the acquisition intangibles.
Sebastien Bazin: For the target and you do refer to it rightly. So I'm moving away from any target within three years from now maybe because it's, I simply don't know what I, what I can share with you is what I told the Board of Directors of this company this morning, is there is one simple way to look at when will be the time to come back with the 2019 figures. If you look at RevPAR occupancy, pricing and so forth, I think it's going to be later than the end of 2022, and likely to be in 2023. And I know airline companies has been talking 2024 to 2027, I guess, it depends who you're talking to. When you talk of EBITDA and margin, that could be, and certainly looking forward for the 2019 to be replicated in 2022 because the benefit is a couple of hundred million cost saving net effect going to the bottom line and EBITDA. So what you may not have in traction demand, lack of business travelers, probably lesser group, could be weathered and the buffer is a couple of hundred million. That's a very simple way that I guess I've been imposing on myself on trying to go back as quickly as possible to the €800 million plus or minus of 2019. I can see why €760 million when you do actually on the same parameter. On the brand rationalization, we do have 40 brands. I just want to correct. I'll just give you the numbers for lifestyle, which is the correct number. It is great in terms of pipeline, but the better segment in terms of performance, as we speak, are the budget and lower mid-scale segment, they are the one, the strongest and rebounding the nicest for the last five months. So don't discount, and I'm not discounting either the force, the strength in current environment being a, being able to provide very cheap entry points to those domestic leisure markets when they can't afford to travel otherwise. So brand rationalization, part of the Zero-Based Budget, and we never mentioned, but I can actually say that to you, all of that was done by [indiscernible]. So there was a very draconian, rigorous exercise. But positive exercise, of course, we tapped upon the importance of each of the brands. You guys know that 12 brands represent 75% of the global fees of Accor at large. So you have to question yourself for the other 28 brands. And the response is the same I gave you earlier, which is since you know those numbers and it imposes on you, and you have to be disciplined in the implementation. We have to make damn sure that, I guess, there's no global allocation of marketing spend or a lot of global sales being allocated to those. They're not nonperforming, but they are vastly local, stay there, permit that to exist because they're actually great users of loyalty members and they give you density strength and coverage, but make sure you treat them as nonglobal, noncore and local. That's the way to look at them. And the thinking of disposing of some of them may come soon, but it's not coming as of this minute.
Operator: And the next caller will be Richard Clarke calling from Bernstein. Richard, when you're ready. Please go ahead.
Richard Clarke: Hi, good evening, ladies and gentlemen. A couple of questions for me. Largely follow-ups, I guess. The first one is just on the -- follow-up from Jamie's questions on the SMDL costs. Is there any ability to claw that loss back from owners in the future to go back breakeven? And I noticed you mentioned that some of the cost savings will be in that line item, some of the €200 million will be in that line item. To whose benefit is that? Because presumably, you can't make a profit in that line. So does this enable your owners to pay lower fees? Or does that get reinvested into something?  And then the third question, following on from Jarrod's really, but some of the other factors that you've talked about sort of being margin bridges in the past, the loyalty reinvest -- the loyalty investment that was going to get paid back, new businesses coming to breakeven. What's the status on those? I noticed you've changed the LTIP to just be tied to the cost savings you've announced today. So is all of this pushed back now by a number of years?
Sebastien Bazin: Okay. Let me actually go on the last, and then JJ is preparing himself for ability to claw back and the line item. I can tell you, ability to claw back nit doesn't work. And you know why, Richard, it's our fault. It's -- you can't impose on your owners and franchise the burden of your cost. Your cost are your cost, you'd better adapt and make sure that you still have a profit in whatever circumstances. But I think you would agree with me, none of us could have anticipated a drop of 90% of RevPAR and still having some unfortunate fixed costs that, I guess, was permissible into maybe 30%, 35% occupancy environment, certainly not in a 7% occupancy environment. So it has nothing to do with the owners, it is our burden and just make sure I guess we go back as swiftly as possible. But on the loyalty and on the endeavors we made on New Businesses, nothing has changed. I'm still looking for the co-branded. We're still moving along very swiftly with Visa. We're still moving along. We have lost four months because of confinement on the issuer on the European banks. But the discussions are still in place. We signed LOI. It's going to be announced and implemented right after summer. So it's a delay of six months, but it's certainly not reneging on €120 million of revenues that, I guess, we've been looking forward to have and on the €25 million to €30 million of EBITDA, that is still in place. And New Businesses, it's kind of the same. We -- a lot of them have been going through the crisis, some of them fairly easily, some of them in a dramatic way. Because of actually Gekko all the revenues basically went to -- I mean it was halted because we are in edge, call for B2B, digital billings with corporate travelers. But it's coming back and it's going to be interesting for you to notice that Airbnb is moving away from hotel reservation. So is booking shying away from anything which is B2B, they've never cracked the model on how to actually intervene into the B2B model, and they're basically focusing themselves on the B2C. So it's still there. The one thing which is new is there is a strategic review nature being undertaken today by the Board and the management's company on reviewing one by one, all the New Businesses in probably a deeper fashion, on testing the market on whether we can get outside partners to [Indiscernible] to outside partners to buy them out and Accor remaining a strategic anchor. So that is actually accelerating as opposed to slowing.
Jean-Jacques Morin: Okay. So on Sales, Marketing, Distribution, Loyalty, I mean, so I was making the point on the reset plan that Sebastien was being quoting on variabilization of the cost. I mean, the issue that we have today and the issue that we have for several months is depending on how the crisis gets resolved and the vaccine is found and whether it's 2022 or another date, is that, everything being equal, I'm going to be at a negative EBITDA on SMDL for some time. And so I need those savings in order to rectify that situation. And then in two or three years of fires, and if I happen to have more money, then I can do more marketing and when I do more marketing, I do more business and when I do more business, I get the benefit of it through M&F. Today, we don't have like a clean, I would say, split of how the €200 million goes between M&F and SMDL. We need to work on that. And I think it's a discussion that we can probably continue to have in other calls. I mean, we are at the stage where we're basically putting in place that plan and going into the detail of the industrialization of the plan. So that's where we are.
Operator: Next up, we'll have Stuart Gordon from Berenberg.
Stuart Gordon: I will keep it to 1 because I think most of the questions have been asked, and possibly 1 clarification. On the opening of your hotels that you've flagged in Slide 13, which is obviously very helpful. I think if I back out the RevPAR [indiscernible] the open room that's broadly flat despite the improvement in occupancy, so as room, as hotels have opened, have you seen a material uptick in sort of competitive pressures on the room rate, as the first thing? And secondly, just going back to very early in your call, you spoke about Travelodge. And just to clarify, it seems if you walk away from that, if you can't get a sort of innovative structure that will enable you to make it asset-light with at the most a very small participation. Just to confirm that? And also, what would you deem to be a small participation?
Sebastien Bazin: Okay. On the room rate, it's, again, we have to be, and we're going to have to give you more of an IQ. We have to be very careful with the hotel being opened. There's a slide presented by JJ saying that, I guess, at the peak of the crisis, it looks like we had still at 38 open, 38% of a hotel being open. That is factually true, but it's bullshit. It's true because that is the case. It's bullshit because many of the hotel were not up, because many of the hotel were not open for reservation, so they were legally open, but with 1 or 2 employees basically guarding the hotel with no occupancy at all. So it's just for insurance purposes and other purposes, owners wanted to keep them open, but there was no activity. So let's be very careful on comparing the room revenues per hotel being open, but we will, we should get back to you on this one. On the room rate, the one thing which is absolutely clear, and we have to be lucid, is we haven't dropped the room rate for the leisure business. It's very equivalent to last year. And in some cases, better than last year because you have better traffic on the shores of France. But unfortunately, because you have a different mix in between business travelers and leisure travelers, when you have a business travelers paying you €120 for a room and the leisure paying you €80, you had a €100 kind of actually, if it was to be 50-50 room rate for the hotel. Today, you don't have the €120, but you present the €80. So when you look at it from the outside world, it looks like a decrease in room rate, it's actually not the case. It is just a different mix. And then we are very cautious, and we've sent all the signals that hotelier should not be dropping rates. This is not the time to happen on that, it depends on our needs. So on the, on Travelodge. I have to be a bit careful because I don't know what's public and nonpublic, but I believe 90% is out there because it's being sent to over 400 Travelodge owners in a form of a teaser. And they, each of them reacting on the teaser. And that would be myself talking to them on Thursday in a tunnel. The vehicle is actually very simple, but quite innovative. There is an SPV being put together by a company called Ago, A-G-O, by somebody called Vive Watts and the partner that he is called Lionel, and I forgot his last name, I apologize. It's, this company will be the beneficiary of a 20-odd years master franchise from Accor when it comes to Ibis Budget. This company will undertake to pay in the form of guarantees, but not in rent, equivalent of 50% of the last 12 months' rent income perceived by Travelodge owners under the Travelodge brand. The people coming to that vehicle by basically converging into Ibis Budget will pro rata of, I think, the room count of revenues, I can't tell you, own 49% of the shares of this SPV. Accor will own less than 10% of maximum 10% of that SPV. And Vive Watts , the founder and creator, will own the remaining 41%. So Accor will be far from consolidating any performance guarantee minimum obligations by being a very miniscule shareholder in that SPV. That SPV will be the operator on behalf of many of those coming through it. And each of them will have a cosharing to the extent of the percentages of the performances of that Ago vehicle. I believe 95% of what I just told you is public. It is in the hands of people that just have to accept that different nature of structuring. And we'll know not before probably end of August, maybe end of October because there is different days by which Travelodge owners have to give notice to their current contract. Some of it is by the end of August, and some of it is by mid-November. So it's a good exercise. If anything, we know is that gentleman, Vive Watts and his partners have chosen as an exclusive master franchise partner Accor and did not choose the other international operators because of the visibility of Ibis Budget brand in UK, which is very much similar and less burden in terms of renovation for the Travelodge owners, even though they have a larger room in terms of capacity and square meters. That is the deal. And so I think, and we provide customer reservation system, we provide loyalty, and we help them on changing the signage. That is the extent of the deal. And I hope we're going to have many people attracted. And if there is not that many, it was worth attempting and bearing. But that actually gives you, for those of you still on the phone, it is a great credit to go have to the people of Ago have, Philip Lassman, yes, [Indiscernible] I mean all those people in the U.K., they have been very, very accessible, very innovative on really trying to provide something which I think makes immense sense for the Travelodge owners, again, at their option. But the team had the agility to step in, in a matter of less than three weeks. Yes, if I mispronounce your name, please apologize for me, if [Indiscernible] is on the phone. Anybody else? Because we're one hour ahead of you guys, so we need a drink here.
Operator: There's just one final caller, guys. It's going to be Andre Juillard calling from Deutsche Bank. Andre, when you're ready. Please go ahead.
Andre Juillard: Good afternoon, gentlemen. Sorry for the drink. You went late a little bit. Well, I know that you have answered a lot of questions already. But I had just two of them. The first one is regarding owners and especially AccorInvest we have not been talking about. And I just wanted to have some more color about how healthy is the company. Is the leverage acceptable in such an environment? And if a rights issue had to be done at AccorInvest, would you follow it or not? That's my first question. The second question is very rapid. It's about the headquarter because if you plan to sell the headquarter, I guess that there is a potential capital gain, which will be quite appreciated in such an environment. But in the meantime, you will have to pay a lease. And in IFRS 16, this lease will be recapitalized on your net debt.
Jean-Jacques Morin: Yes, you're right. There will be a lease that will be recapitalized. But net-net, it's going to be a reduction in net debt because the amount of cash that you will perceive is going to be such that the net effect of the transaction on the account will be a couple of hundred million of net debt reduction. I think that's the point on [Indiscernible] of the headquarter. And then there is the question on the AccorInvest. So on AccorInvest, I mean, yes, we discussed a bit AccorInvest because they are part of my equity consolidation. So I mentioned that like everybody in this industry, they are suffering from the COVID situation, obviously. They were able to renegotiate just like a lot of us have done with the banks and extension or holiday, I should call it, of their covenants. So they have a time in front of us. And today, they don't have a liquidity issue. And so the question that you asked about the rights issue is not something which is being discussed. And I recall you that in the AccorInvest, they have significant portfolios, which are outside Europe, namely in Latin America, in Africa and also in Australia that they may want to monetize if they were really in dire straits, so there are some levers. I'm not saying that this is what's going to happen, but they are not in a situation which is critical, as you may have invited with the equity and the right issue increase in the question, Andre.
Sebastien Bazin: And I'm going to be pronouncing his name right. [indiscernible] if you hear me on the phone, please, I apologize. He's one of the best guys that I guess, exists in terms of development. So voila, again, is nothing to be proud, pleased about, I actually apologize for my tone. It just, it is tough. Those numbers are bad. Expected, however, and its just simply cannot continue that way. So whatever we announce to you is to make sure that, I guess, we preserve whatever cash we have. We move on and we restructure this company as we've been engaging and fulfilling promises and really getting to this agility, this company is in need of for a long, long time. All of you on the phone, and then we'll talk to you again in, for the third quarter revenues at the end of September. Thank you.
Jean-Jacques Morin: Okay. Bye, bye.
Sebastien Bazin: Thank you. Bye, bye.
Operator: Thank you all for joining today's conference. You may now disconnect your lines.